Operator: Greetings and welcome to the Vuzix First Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your Andrew Haag, Managing Director and Partner at IRTH Communications. Mr. Haag, you may begin.
Andrew Haag: Good afternoon everyone. I would like to welcome all of you to Vuzix's first quarter 2015 financial results conference call. With us today are Vuzix's CEO Paul Travers and the Company's CFO Grant Russell. Before I turn the call over to Paul and Grant, I would like to remind you that in this call management's prepared remarks contain forward-looking statements which are subject to risk and uncertainties and management may make additional forward-looking statements and make them during the question and answer session. Therefore, the Company claims protection on the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995, actual results could differ materially from those contemplated by the forward-looking statements made in this call and as result of certain factors not limited to general economic and business conditions, competitive factors, changes in business strategy or development plans. The ability to attract and retain qualified personnel and changes in legal and regulatory requirements. In addition any projection as to the Company's future performance represents management's estimates as of today May 12, 2015. Vuzix assumes no obligation to update these projections in the future as market conditions change. This afternoon, the Company filed its 10-Q with the SEC and afterwards issued a press release announcing the financial results. So participants, in this call may not already done so may wish to look at those documents as we provide a summary of the results on this call. Today's call may include non-GAAP financial measures which when required reconciliation in the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release and also in the filings listed at www.vuzix.com. I would like to now turn the call to Vuzix's CEO, Paul Travers, who will give an overview of the Company's business activities and development this quarter 2015. Paul will then turn the call over Grant Russell, Vuzix's CFO who will provide an overview of the key financial performance metrics and then open up the call for Q&A. Paul?
Paul Travers: Thank you, Andrew. Hello everyone and thank you for all joining Vuzix's financial result call today. Over the last couple of years Vuzix has met significant milestones and the first quarter of this year is not an exception. I hope to convey some of those more [salient] point during this call, as many of you are aware during the quarter we received a $24.8 million investment from Intel Corporation, this is led to a significant improvement and strengthening of our balance sheet including a substantial reduction in the derivative liability and increase in our cash balance. We feel that investment of this magnitude from such a large and established technology player, I mean think about Intel for a minute, you guys have been driven this entire computer industry practically with some of the silicon you make. To get this kind of investment for them validates our strategy and the intellectual property that we have and the strong position that we are in the wearable space. We've always said, we're going to move to the NASDAQ, is an event that managements have been striving for and this investment along with other activities of Vuzix has allowed us qualify for and as you all know lift on the NASDAQ in late January which was quiet an event for management at the Company, was exciting ring into bell frankly. Clearly this investment has significantly strengthened Vuzix's balance sheet as we ended the quarter with cash of approximately $23 million compare to $84,000 in December 31, 2014, much of this has been disclosed and discussed over the past few months after we first made the Intel announcement and as you can see we're being good stewards with the capital and we intend to remain fiscally prudent. That said we will be using the stronger balance sheet that this capital has enabled to advance the Vuzix strategy going forward with exciting new products and relationships to be disclosed as they developed. As most of your know as part of the security purchase agreement with Intel, if this contemplated the Vuzix will also be collaborating on efforts in the wearable space together with Intel although I can't offer details, I can say that in the first quarter those collaboration effort have started. I am sure overtime more will be disclosed around that, but at this junction that's the best I can offer and say that it is moving forward. A piece of our strategy going forward is to expand our manufacturing and product development capabilities in anticipation of the demand that we expect as the wearable technologies space expand. To that end, we expect to complete a move to an expanded space by the second half of 2015. This space has beyond the 5,000 square foot of added clear room space which is an upgrade from about 400 square foot and just to be here that's the space that we have been able utilized for the waveguide effort that space alone is being bumped up by 5000 up to 5000 square foot. It's a much bigger space in other regards to that’s allowing us to operate more efficiently to add new equipment to improve the performance of our waveguide as bring up volume production capabilities. The upgraded facility will also allow us to support faster next generation product development and allow us to address the growing business relationships around the Smart Glasses. As most of you know the M100 Smart Glasses are an android based wearable computer system, it's effectively like wearing a smartphone minus the cellular support it has Wi-Fi, Bluetooth and all those gate capabilities, and in the enterprise space the ability to have a wearable hands free display device is proving to have great returns on investment in medical, in warehousing and field service; it's surprising the number of applications. And although I can't speak to all of the programs that are coming Vuzix has been moving from companies that are just behind 1Z, 2Zs to actually rolling out programs. We continue to sell 1Z, 1Zs as that portion of the business people learn and they are jumping on board but there are now companies that are finally going live with product and solutions. An example of that is SAP, I've talked about this before, I love the guys at SAP, the Germans, they get everything perfect but it takes some time. And finally just within the last week or so, they have put both their warehouse picking app and their field service applications up in their app stores. So their sales teams are out, they have multiple customers with installed and working systems, they are getting very positive feedback and they have many more requests for more installations going forward. And not to rub it in but you will notice if you go to their site that the Google Glass is not supported by either one of those applications when you go down the list. We all know that Google is kind of sloping down in this regard and are looking for the next generation products and that might be a portion, but I will say that Google Glass just doesn’t perform well with these kinds of applications because of all the extra process and power, and the overheating that glass happens to go through. So although it has taken longer than we had hoped, they are finally rolling. Last week when we visited them at the SAPPHIRE event in Florida, they not only shared their enthusiasm for the M100 and how well it's working but they also have several new products and solutions coming around the M100 that I think have as much if not greater promise than some of the stuff that they are shipping now. As most of you know Vuzix also formed an agreement with Lenovo in July of 2014 to sell our Smart Glasses in China to Lenovo enterprise based customers, the Lenovo relationship to launch in market the M100 Smart Glasses into China was a major achievement for us clearly, following our joint announcement of the partnership with Lenovo at their new business development launch event in Beijing, the product began to be marketed throughout China. However, they have not been in the position to start selling it yet up until just this first quarter. It's co-branded Vuzix Lenovo that powers up, on the side it's got Vuzix powered by Lenovo and I am happy to say that finally in this first quarter Lenovo has started shipping product. And point of fact it represents about a 30%, a third of our M100 product sales in the first quarter. Other examples of partners that are moving to volume include XOEye. We put a press release out earlier, they are a company that is written Linux-based base on top or as part of the M100 OS and they started shipping several applications, HeadApp has released their Eye4Flight application for the small aircraft pilot industry, UVMax has multiple programs that they expect will be going live here shortly, details to follow. There are others in the first quarter but they are not public, and from those companies and Vuzix is planning a formal PR and/or [callmark] and activities that we will be sharing in the coming months. So it was an exciting first quarter for the M100, lots of activities that are starting. It's just getting started as we said four, five weeks ago at our last conference call, it's the third and fourth quarter that we expect the biggest impact for the M100 sales in these programs that really start to move, but it's happening, people are no longer talking about it, they are actually launching and doing real programs. So while we remain focused on the enterprise market at the same time we are preparing to launch our first HD Virtual Reality product which is still on track for the end of this summer. During the quarter, we showcased our new IWear 720 video headphones running on the OSVR platform at the Game Developers Conference in San Francisco, the open source VR platform alliance is a new standard NVR gaming that provides hardware and software support for compatible or compatibility with Vuzix's VR products and a bunch of other applications that are coming. The really cool thing about this is many companies that are writing to these standard applications and so you will see lots of custom VR support for the IWear 720. The other really nice thing about the IWear 720 is it just plugs and plays with most devices today. Plug it into your iPhone and you can watch IMAX movies, kind of an experience, 130 inch screen from about 10 feet away, you don’t need to have special software even, but if you do it makes amazing experiences. During the quarter we also added several new members to the Vuzix team, strengthening our engineering, accounting and sales and marketing groups, including replacing our Vice President of Sales and Business Development. And as companies grow the needs change even in the sales area, a gentleman that we brought on has a background in the logistics environment, he understands what the customer needs to solve their problems in the shipping warehousing and those types of environments, he is a great fit to help us move into the actual sales cycles for our products and our Smart Glasses. Our goal is to continue to expand the R&D teams selectively by hiring the right people for the right jobs. We have already added several new PhD optics engineers and we believe we are even stronger now with new hires that we have made. With the expanded team we believe we can support the solid opportunity ahead of us in this variable space. Turning to our intellectual property, we strive to maintain all our products at the cutting edge, emerging technology and continue to innovate the M100. It's going through some upgrades that are coming, I am going to leave that for a later time but you will see some exciting changes happening to the M100 that have come from customer feedback, et cetera and those changes will come in -- not sure if it's going to have a different name but it probably will carry an XL on the end of it. Our commitment to innovation is underpinned by our dedication to maintaining and further developing our strong patent position for example, last month we acquired two new patents in the wearable display space, they cover augmented reality gesture control and ambient light transmission control in see through wearable displays. These patents are very synergistic with our current and planned product lines and if you take a close look at what they do it’s seems like, it’s cornerstone for anybody that would want to reach out and touch virtual object in space, user interfaces that really touch the virtual world. So it’s great intellectual property to add to Vuzix. We believe that what they contemplate are concepts that are needed for see through augmented reality in order to make it work correctly and we intend to build around those patents with some other intellectual properties. That are focused around the glasses user interfaces that we see in future. As wearable tech and more specifically smart glasses market continues to develop, we expect more value placed upon all this IT that we’ve been building. I hope I have been able to give you a sense of substantial moment Vuzix has now as evidenced by our first quarter 2015 activities including new partnerships, stronger balance sheet and the start of real programs around the M100 Smart Glasses rolling out, with our shares trading on NASDAQ following our up listing on January 28, 2015 we’re also and more attractive investment vehicle to a broader base of potential investors. I would like to conclude by again thanking you all for your support. Now I’d like to turn the call over to our CFO, Grant Russell to review our financial results. Grant?
Grant Russell: Thanks, Paul. Good afternoon everybody. For the three months period ending March 31, 2015 Vuzix reported 809,000 in revenues as compared to 798,000 in the prior period in 2014. This increase was a key despite the phasing out of our Wrap products and about 1,208 Warp 1200ar which were down 60% over the period and actually lower engineering revenues. We reported a net loss of $5,091,000 for the three months ended March 31st versus a net income of 1.5 million for the same period in 2014. I’d like to point out the net loss for the three months ended March 31st was primarily driven by non-cash charges including 2.1 million for stock and warrant compensation and $1 million loss on mark-to-market derivative liability whereas in prior year we had $2,575,000 in the prior year’s quarter. Paul discussed briefly sales for the M100 were up 56% over the same period last year, Lenovo was -- came back on stream in Q1, they finally got their software completed and we commenced shipments to them again and they represent one third of our revenues, offsetting the overall increase from revenues was the planned phase out of the Wrap 1200 product family, which is being replaced by the IWear 720 which -- whose sales were down 67% for the three year period ended 2015 as compared to ‘14. Sales of engineering programs declined to 113,000 versus 149,000 in the same period in [2004]. We did make final deliveries of a binocular waveguide program to U.S. Navy and at this stage we do not have any open orders for future engineering services within the military. And the plan now is clearly to focus on our own proprietary product and technology development activities. Gross margins decreased for the quarter as compared to the prior year. They were negatively affected by the commencement of software development cost which were around 71,000 in the first quarter of 2015 versus nil in 2014 when we were still capitalizing cost. We do earned significantly lower margin on M100 sales to Lenovo versus what we sell otherwise and they were a fairly large percentage of the sales in Q1. We had higher fixed manufacturing overhead salaries, and finally some write-offs related to the wind down of Wrap 1200 family of products. I mean there was some -- we don’t anticipate there is going to be a permanent trend in reduction in these gross margins. Research and development cost were up again for the quarter year-over-year primarily due to increased development activities on the new product, the IWear 720 and waveguide product technology. In 2015 all software cost were expense whereas in the prior quarter in 2014 recapitalized $62,000 versus internal development salaries on software. G&A had a large increase of $2,455,270; majority of that was non-cash 2.1 million of that and that’s primarily related to chances for option share awards and warrant compensation. Other income for the three months ended March 31, 2015 was a loss of 1.4 million versus $2.5 million profit. The swing there was primarily attributable to $1 million loss in the derivative liability mark-to-market valuation for the first quarter of 2015 versus a gain of 2.6 million effectively in 2014. Just so to refresh everybody's memory these mark-to-market valuations create losses when the company stock price rises from quarter-to-quarter and we end up with gains when the stock price goes down from December 31st to March 31st, our stock price went up substantially and as a result that triggered a loss in the mark-to-market. Going forward we shouldn't have really any more of these significant adjustments in mark-to-market `valuations because due to the Intel investment and the conversion of the majority of the outstanding warrants during the quarter, there is effectively only 57,000 shares [warrant] left and that should really minimized any amounts to these non-cash charges. The other major non-cash charge was $341,000 in the amortization of term debt, discount is compared to just $6,300 in 2014 in the comparative period that the convertible debt that’s driving that large portion of it was an outstanding. Balance sheet improvements over the quarter clearly, Paul mentioned as we've the $24.8 million [indiscernible] placements Intel on January 02nd, we did receive pursuant to that waivers from 86% of our warrant holders and 100% of our convertible note holders to waiver their price reset, that were built into those securities and that coupled with the first quarter's warrant conversions, our derivative liability went from $13.5 million down to just $175,000 at March 31. So we finished up the quarter with $22.8 million in cash versus $85,000 at the end of December, gone from working capital deficit is at 1.4 million to 22.8 positive and our stockholders' equity is going from a negative 14.4 million to positive 23 million. So overall our financial position of Vuzix has improved dramatically during the quarter. With that I'd like to turn the call back to Paul for closing remarks.
Paul Travers: Thank you very much Grant. Hold on just a minute --.
Andrew Haag: We're going to move to questions now, right?
Paul Travers: Yes, that's why we're here, Andrew, thank you very much. Again we appreciate your time everybody for participating and if you have questions, we would love to take them now.
Andrew Haag: And we got first question is from Jay Srivatsa from Chardan. Operator, you want to queue them up?
Operator: Certainly, our first question comes from Jay Srivatsa from Chardan Capital Markets. Please proceed.
Jay Srivatsa: Paul, in terms of the product mix in Q1, was it all primarily the M100 or do you still have any Wrap products out there?
Paul Travers: Grant will be able to deal with that one better.
Grant Russell: The majority of the revenues were clearly Wrap 1200 sales -- were M100 sales and not the Wrap series.
Jay Srivatsa: Okay so now that you’re phasing it out, do you expect it to and beyond to be purely the M100 with the 720 is coming in the second half; is that how we should think about it?
Grant Russell: Yes.
Jay Srivatsa: Okay. And then Paul, you talked about Lenovo, looks like starting to start the commercialize the product here. Help us to understand who else have you been engaged with? How many customers do you have in the pipe, when are some of those ready to start launching with their Vuzix based products? Help us to understand can I work as in the pipeline.
Paul Travers: So if you look at the number of units that we saw today, it's in the thousands of units and again the bulk of them probably 90% plus of them have been sold into corporate kind of relationships, companies that are doing things like [indiscernible] care medical facilities and those companies up until now have a only bought a smaller volumes of them, [indiscernible] care is an example you will be hearing some more about that here shortly, these guys do that particular function have gone live, they've started to take volume products from Vuzix and so if you think about the thousands of units that have been shipped so far, most of those are seeds and many of them are starting to bear fruit. With that said, it takes time for these guys are really get cranking and we see the best of this stability out into the third and fourth quarter of the year.
Jay Srivatsa: Okay. In the past call you talked about how 2015 is going to be able to triple the revenues from 2014, is that still what you have in terms of guidance or do you expect things could be better than that or maybe fall back little bit help us understand how you feel about that numbers that’s out there.
Paul Travers: It's still the number that we're question for, I don't think you're going to see a more than that just because of the time it takes to get everything ramped and moving. If it falls short of that it's only going to be because it takes guys a little bit longer to get rolling. It will be a great third quarter and fourth quarter regardless.
Jay Srivatsa: Okay. And then for Grant in terms of the margins is the Q1 margins kind of the bottom, do you expect the margins to improve going forward? Any color there would be helpful.
Grant Russell: I would expect them to improve going forward -- to recover a little. I mean we do have the amortization and software development cost which we didn't have on a year-to-year but the mix of the lower margin Lenovo sales as well as the effect to right off and lying down on the final yields of the Wrap 1,200 production, that should be behind us. So the margin should improve and again as I said some of the manufacturing overheads are fixed cost, so as the revenues increased there shouldn’t be a corresponding increase in those cost they are pretty long step variable.
Jay Srivatsa: Okay. In terms of cash burn, what do you expect the burn to be going forward?
Grant Russell: Through all those if now I just sort of walked everybody through the actual net loss adjusted for net and cash items was with 1,488,760 as compared to a net loss adjusted for an non-cash items of 937, 978 for the same period in 2014. I would say were as last year we probably had a running cash losses about a 1 million to 1.2 million that’s closer -- effectively we’re running at 1.5 million, I wouldn't expect that will increase too much more because we believe these sales revenues are schedule to ramp, but I would suggest Q2 was probably going to be pretty similar to Q1 because we are hiring the additional people and we are getting ready to move to a new facility, we’ll still increase some of our cost which will hopefully be offset by the higher revenues and gross margins coming in Q3 and Q4.
Jay Srivatsa: Okay. And then in terms of share count what do you expect the outstanding share count to be in next quarter, I mean in Q2?
Grant Russell: The outstanding it's not going to be -- there is not that many -- I guess the big variables there that could increase the -- right now we're sitting at 15, 909,000; as I stated there is not many warrants left related to the -- there is only 57,000 relate to the August 2013 financing, there is about 300,000 or 400,000 other warrants outstanding, but the biggest dilutive security excluding the Intel series A preferred is the convertible notes which could essentially represent about 1 million shares, so I don’t think we are going to see any substantial exercises or converting in the next quarter -- but I mean so I would say just excluding Intel you are not likely to see that number go up by more than million shares, sort of about a worst case.
Jay Srivatsa: Okay. Maybe one last question for Paul. As you look ahead through the M100 developments and modifications in the next generation of product. What is been the feedback from customers thus far? Have they pointed out any hardware issues or software issues that need a tweak to make it better or are they very comfortable with the way the product is? Just give us some sense on what you hear it from customers.
Paul Travers: So, a good example of that is by leaving with our friends SAP at SAPPHIRE last week. They have everybody's Smart Glasses available in market place and over the last six to eight months we have been doing upgrades, we've come out with the fashion Glasses -- oriented Glasses those will be upgraded to full safety Glasses here shortly, we have another pair that we are working on with the partner in Japan and from their perspective they think the thing is really very good the way it is today, there is just minor things that they would like to see improved. From a reliability perspective the only thing we've gotten units back or in the field were some button issues that we've addressed already. They are really happy with the product the way it is. Now I said there are our always issues when you get under certain circumstances like if they want intrinsically safe and we don’t have that today kind of a thing, but generally the M100 they are happy with. We know that they would like to see a lighter version of that, maybe one without a battery and one that might have a thermal camera and those kinds of things and some of those things are going to be put in our next version before the end of the summer.
Jay Srivatsa: Great. Thank you.
Paul Travers: They are not just to be clear they are not required the guys at SAP the way it is right now they like it.
Operator: Thank you. Our next question comes from the line of Matt Robison with Wunderlich. Please proceed.
Matt Robison: Okay. Thanks for taking my question. I’ve got some questions, could you frame the ramp rate a little further, rest of the year and in the next year. Can you comment on what your rate times are like, how you think that partner inventories are developing and the cycle time for your end-user customers like DHL to get from initial volume into production volume in terms of their usage?
Paul Travers: I can quickly comment on the lead time for material, right now running between 16 and 20 weeks, there are displays in some of the microprocessors or long lead items. We do have our product forecast and items in the queue so pending some -- we think we've got reasonably well covered. However if we [indiscernible] receive an order for like 10,000 to 20,000 pieces there would be some lead times associated with that, but we're not anticipating -- we think we'll get adequate advanced notice, so we're building to forecast with a nice cushion that could effectively bring down that lead time hopefully to half in less than 10 weeks, but clearly it could be -- we could be caught with some shortages. But we're not going to commitment too far that way so.
Matt Robison: So does that imply that if you're talking about a big back half of the year, you've got -- you're working through a lot of backlog right now or you just -- do you just have some forecast that are non-cancelable within a certain period and with some ability to --.
Paul Travers: Then you product there primarily forecast like with the iWear 720, we're making the commitment and purchasing the raw materials and keeping the supply chain full to meet our sales expectations, similarly with the M100, so I mean effectively we're going to have the products to support the revenue increase above with see the Company hoping to achieve this year.
Grant Russell: And those numbers did come from just plucked out of the air. We have a nice space of customers when you heard me go through the starting talk here it's not one company SAP, Lenovo HeadApp and there is bunch of them and we talk with and have forecasted and worked through with all of those guys. We're not building to the max that they all think they can do and what's happening is we’re building to what we think is reasonable and realistic, and so it's based upon that feedback if not just pie-in-the-sky number.
Matt Robison: So I guess given the lead times probably partners haven't had a chance to build a lot of inventory yet, was that a fair assumption?
Grant Russell: Yes.
Matt Robison: And what can you say anything about the experience with the cycle times to get the applications up and running and start to populate their workforce through this with the M100?
Paul Travers: I think you got in some cases, it's a partner who selling to a bunch of end customer and in those cases they're rolling them out they're buying them in quantities like 100 at a time and filling the channel and their customer base through that. In another cases like SAP it’s taken them almost a year and half plus to get the software finally in a position to where it's up on their app store and now it's no longer at the beta I guess as what they call it, it's now under maintenance. They're doing quarterly updates to it and they're rolling it out and so in some cases they have a bunch of customers that are like -- they've been waiting for it and chopping at the bid. In other cases they're guys just trying to figure out whether or not it makes sense for them to use it. So it's across the broad and it’s primarily because it’s so many different areas where it is planning to be used in and each one has a different sort of profile for how it gets into the market.
Grant Russell: It seems today everybody seems to need at least three months plus to do their first evaluation and then enrolls from there, but it's not -- and you're dealing with enterprise commercial application. They're pretty methodical about testing before there is any rollout and we will issue what’s faster, but these people rely on their systems for their business so [indiscernible] has to work for them.
Matt Robison: That's very helpful. Thanks a lot.
Paul Travers: With results like 25% to 30% returns on investment it's motivated some of these guys to try to push it through.
Operator: Thank you. Our next question comes from the line of Aaron Martin with AIGH Investment Partners. Please proceed.
Aaron Martin: Follow this your reader script of M100 instead of your laptop you might, you won't have any problem?
Paul Travers: Aaron, I think I'll take that advice for the next call.
Aaron Martin: Grant on the gross margin, what was the size of the impact -- the dollar impact based on inventory right down and the decreased yield on the 1200?
Grant Russell: It's the amount we put in queue with approximately $50,000.
Aaron Martin: Okay fine, so I mean looking at the back piece and the fact that you got the software piece as a fixed piece of revenue that will be going forward, I assume the software cost that you're expensing will stick around this 70,000 to 75,000 range, it wouldn't be growing too much?
Grant Russell: That’s correct they're being amortized over 36 months.
Aaron Martin: Okay the fixed amortization is scheduled, so with that in mind I would assume even if revenue stayed the same and no volume increase as you should get 5% or so step up in Q2 on gross margin and then whatever you get based upon increased volume absorption of overhead would come on top of that?
Grant Russell: Yes.
Paul Travers: We were hoping if there's not a larger component of Lenovo than we’ll be back, we’ll be definitely over 30 for Q2.
Aaron Martin: Okay. And then as we look at the Q3 and Q4 at that point in time with kind of revenue that you are talking about $75,000 worth of software amortization would almost be, it would be tremendously a much smaller impact, it will be a 1% maybe of gross margins [indiscernible]?
Paul Travers: Yes.
Aaron Martin: Okay. If you could clarify a little more on your partners, how does it work with your partners, do they typically take -- you talked about a partner ordering 100 units that they’re then implementing programs with their customers, are they taking stock or is it -- are you -- are they SAP sales that are going out, then you are shipping to SAP's customers, how is that working?
Paul Travers: It depends upon the customer Aaron, in some cases they are buying stock, they are taking stock, may get a modest volume discount as a function of that. And other cases like SAP, it's kind of they work directly with users, part of the reason why we brought a gentleman like Lance Anderson on Vice President of Sales on the enterprise side; he has been in the logistics industry for quite some time and customer base. And so he is kind of going to be in there directly fulfilling the SAP customer orders.
Aaron Martin: So that means then that you have a very, you're going to have a very strong view into SAP's programs, is that fair?
Paul Travers: Yes, we should yes.
Aaron Martin: Okay. I know you -- and thank you for the color on the acute medical care partnership and I know there is only so much you can say but there are other partners that you have listed on your presentation and we've heard a lot about some of them and some of them I don’t think we've really heard very much about, a guy let's say like Salesforce or [indiscernible], what can you tell us about those partnerships because they are listed on your presentation?
Paul Travers: I can tell you this probably -- I really can't say that much, Aaron a really good question at that though, yes, we are working on some co-marketing activities with some of those exact players that fulfill out and I wish I could offer more than that.
Aaron Martin: Okay. And I have to assume that there are partners that won't let you use their name as well, is there equal number of partners that aren’t listed on your presentation or how should we look at that?
Paul Travers: I can almost get deep base of customer and it's what surprised people I would say. You think about the top 100, Fortune 100 companies, I think 40 of them have brought products, there aren’t 40 top 100 company names listed on that partner page.
Aaron Martin: Okay. And in terms of.
Paul Travers: I don’t classify, just because you brought a unit from Vuzix don’t necessarily classify you as a partner, usually something more going on than just one.
Aaron Martin: Got it. Now in terms of Intel, I appreciate you are saying that you have been working in the collaboration, what can you tell us in terms of that -- what the work entails, is it engineering work from Vuzix, is it overall product design, what is it?
Paul Travers: It is the $24 million question I get all the time and I can tell you its engineering related point at gizmos, but I really can't say more than that.
Aaron Martin: Okay. When do you think there will be, perhaps a product on market based upon your work with Intel?
Paul Travers: I’d love to answer that one for you, but I can't, sorry.
Aaron Martin: Okay, I mean there are other partners in the space that are working with Intel that have made comments about the market timing, should we look towards those guys?
Paul Travers: Really can't offer input in this regard Aaron, I am sorry.
Aaron Martin: Okay, thanks, appreciate it. Congratulations on the progress.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Ross Silver with Vista Partners. Please proceed.
Ross Silver: Hi, Paul and Grant and congratulations on the quarter and the success to-date. Just a question as it relates to the competitive environment. So there has been a considerable amount of media attention that's being played or media attention that's been generated to the Glass segment specifically and Vuzix based on anything you read is the leader on the commercial or the enterprise side of glass development. So and you are talking about revenues increasing significantly in the second half of the year, I mean how does the competitive sort of environment takes shape, would you sort of guess or predict in the second half of the year? Is it going to be maybe like one or two companies specifically that are going to receive sort of majority of these orders or do you see kind of spread amongst other maybe -- I’m just trying to understand how sort of spend is going to be allocated just in your estimation do you think -- anyway not to go too technical to questions.
Paul Travers: I think I get the idea let me give it crack and then you can tell me if it answers it. There are two markets to think about, one is the enterprise, in that case products like the M100 compete with things like the [indiscernible] will be 200. There are not many companies that are making competing products there, I mean Glass is there, but I’m not even sure if you can actually buy Glass and roll it out in program today. And if you judge by looking at SAPs product lines that support our product, they only support Vuzix with the exception of their field service application which it does support the BT-200 from [indiscernible]. The BT-200 is not really good to use in the field, so maybe you had a bench is great but because of peripheral vision and other issues. So if you look at SAP as a gauge of all of the other competing products in the enterprise space that could play there to Vuzix right now. I mean I would like to think that in our customer base at least, any other guys that might be looking at an alternative is probably going to be Vuzix that gets sold in the enterprise. And then in the consumer space however it’s a bit of different story I mean Oculus is outselling now today. They’ve development kit versions of their Oculus Rift and I understand maybe the rumor has it sometime in the first half of 2016 it might actually be shipping products there is the VR Gear and products from companies like Carl Zeiss, but in those cases you need to put your phone into them. So they’re not really standalone virtual reality gaming systems. So in this fall I think Vuzix will do a pretty darn good job here in entertainment based wearable virtual reality space. I think Oculus will sell a lot of developer kits as they continue to, but there is not going to be a lot of virtually out of the competitors with the exception of the person who owns a phone that they want to bolt to the front of their face.
Ross Silver: I appreciate the answer and that’s what I was trying to articulate in asking the question. So I appreciate the response. So the second question I have a not to put words in your mouth is, so it seems like you are out of stage now where as you mentioned on the previous call and you just mentioned with the gentlemen who just ask the question before, 40 of the Fortune 100 companies are currently partners or customers with Vuzix. So my guess is there is some number of units for which they have in hand and that they’re utilizing and as they get more and more comfortable with these units additional orders will be placed which I would assume would be larger in size. And based on those sort of -- that sort of success and understanding that you’re gaining adoption and I guess that adoption is going to be rapid, again based on the second half revenues really picking up, with the perspective let say, acquirer or partner, are they kind of sitting back and looking to see if you are able to gain that adoption and that’s when they would then try to make a potential bid on Vuzix or -- how would you characterize sort of the strategic or a potential acquirer, how they are kind of viewing Vuzix, because I think there is probably no shortage of companies that you’ve spoken with that are interested in entering space and you would seemingly be the best option just given that you already have a product, it’s available, et cetera. I know you can’t -- or as much as you can share I guess it relates to that top because I know a lot of people have asked about that. What is Vuzix need to look like for someone to ultimately acquire them? So whatever you could share that would be helpful.
Paul Travers: I can say that Vuzix is focused on building and running our business. Every day that we move forward here and we adds value, it adds value before an acquisition happens. So it’s good for all of our shareholders. I think there is probably six ways on Sunday to look at how a third-party acquirer or might look at Vuzix. In one regards we have optics technology that could replace the smartphone. So if you are the right player and you are looking and you’re trying to figure out what’s going on next, I’m not sure you need to wait, in fact I think you might be worried about waiting around. On the flip side of the coin, if you are an operational company in enterprise and you make barcode scanners today and you are worried about having that business canalized by smart glasses, well, as you see that’s stating to happened. It might become important for you to want to try to acquire a company before that happens and get cannibalized on you. So it really does depend upon who might be the one doing the acquiring. And in the case of Vuzix it could be that there are multiple different business transactions in this regard that could happen. It’s just such an open question, sorry Ross.
Ross Silver: No, it’s a tough question to answer. Looking at this from the outside a lot of people say, okay, you get the adoption you get the validation from some of these customers and at what point of adoption or validation, I mean not to say that -- you’re validated but in terms of unit sales, is there a magic number of unit sales that someone just comes in and says, okay, Vuzix has done it, I need to buy these guys because they are going to be disruptive to my existing business on the enterprise side. So it’s sort of an impossible question to answer to be honest but I was just sort of looking for any color that you may share from many of the conversations that you had, your comments have been helpful.
Grant Russell: The other thing Ross is you got remember a lot of potential suitors aren’t fully aware of some of the new tech that we're working on and seem to unveil. So there could be some that wait and see, just because there is it seems to be continue flurry of technology announcements in the wearable space and there could be some that are looking to see how it all settles out and we have some real exciting things that we feel are going to be extremely compelling and game winners coming out and to be honest there is very few that have seen all that yet, you made over the next 12 months.
Paul Travers: Hard to believe you would hear all that out of a CFO.
Grant Russell: So they can’t defy what they don't know just yet.
Ross Silver: I appreciate it. And of course having Oculus comp 2 billion plus by Facebook, it's always a nice thing to have. Thanks again.
Operator: Thank you. Our next question comes from the line of Alpash Patel, Private Investor. Please proceed.
Alpash Patel: I have a question regarding the waveguide, I know you said there will be rolling out in the fall, but can you be more specific when do you expected to hit the market?
Grant Russell: From the perspective of shipping it in the market place, people will -- they're going to know a lot about it come this fall, in experiencing all of that actually hitting the marketplace; it's going to be the early part of 2015.
Paul Travers: Right now if somebody wants to by ware guide from us, they need to buy M2000AR and we've been showing those.
Grant Russell: Or they need special relationship with us, where we're doing development work with them.
Paul Travers: Right, somebody like U.S. military.
Alpash Patel: Okay and as far as the field of view, is it going to have the 35% or 70%?
Grant Russell: It's not -- First one’s that come out will have these smaller -- but if you looked in it, have you ever had opportunity to experience the wave guides from Vuzix yet?
Alpash Patel: Yes, I have.
Grant Russell: It's the 35 degree field of view actually yields pretty large because it’s all wide open. So the world out in front of you is there plus these virtual objects that float in space and so it's feels pretty good and it's a great start to solve lot of problems that the early customers that we have.
Paul Travers: Particularly enterprise folks don't need the extremely large fields of view, it can become too distracting and for the operator otherwise.
Alpash Patel: So you guys feel pretty comfortable with the 35% at this time?
Grant Russell: Yes, this 35 degree is not -- we can we do that today.
Alpash Patel: Okay. And also the two patterns that were just recently purchased, what will that allow Vuzix to do that, it wasn't able to do before?
Grant Russell: Well I think we could have done before but by virtual of the fact these patents existed, the firm that was managing those patterns could have ended up being in control, I'm not saying they would be at all; I don't want to pass any discouraging remarks here. However, the stuff that’s coming from Vuzix is going to right on top of this, the ability to reach out -- you have seen some of the pictures in our presentation, the person is reaching out and touching the user interface in front of them, and you have seen that probably in other company's products and it's right on these patterns and we got a -- negotiation was really well done for Vuzix and it puts us in a position where we don't have to worry about this when we start shipping products and it's a good base for where we're going next. So, as we are developing some other patents around it.
Alpash Patel: Okay. And as far as the -- I know you've mentioned on the previous call as well, over the last call, regarding Oculus being about 2 billion and Google just invested 500 million into Magically. So, do you know why Vuzix is only able to get 25 million from Intel?
Grant Russell: We're a public company today, we're on the OTC, and we had a $3.20 price of the time when we're negotiating with the guys. We could have got more money from them, but we didn't want to sell them more of the company. It's one of the wonderful things about going public as you have access the capital one of the unfortunate things about going public is you have valuations put on you that in my opinion don't necessarily reflect the true value of the company and we just weren’t selling more than what we did, but I think it was a brilliant move for all of our shareholders that Vuzix’s; number one got such a high caliber partner to come in, number two, we're capitalized nicely right now. We don't need money for foreseeable future quite frankly and there are great partners at the same time. So strategically it was worth the -- selling them as much as we did and remember they did pay a premium to market at $5.
Alpash Patel: Correct, yes, and it’s always nice to have a partner like Intel, there is no doubt about that and do you anticipate another executive pay increase this year?
Paul Travers: Another one?
Grant Russell: There wasn’t one in 2014 or 2013, Mr. Travers and myself we’re still under the same contracts that were the company put in place back in 2007 and were now at the stage where we can actually be paid in cash the amount of our salary so.
Paul Travers: I can also offer in more than one year, Vuzix really didn’t end up paying Grant a portion of the salaries in some cases none of mine, but we perceiver. There is in fact going to be an adjustments but it puts Grant and I in market where it belongs.
Grant Russell: That's up to the compensation committee of the board and I believe that maybe next year we're going to have another -- there will be another proposal put to shareholders, another non-binding review of compensation so.
Alpash Patel: Okay. And then finally have you guys approached or have you been approached by like CNBC, I know you've been on Fox Business with Maria before and also [indiscernible], have you guys been in contact to CNBC and trying to get free publicity out? Let people know there is another product other than Oculus?
Paul Travers: Yes. In point effect you are going to see the PR activities, the free sale activities, a bunch of stuff starting to crank up as we move to the summer and into the fall.
Alpash Patel: So, alright. Well, thanks you so much and look forward to your success.
Paul Travers: Thank you. Appreciate the questions.
Operator: Thank you. Our next question comes from the line of Tom Walsh [Indiscernible]. Please proceed.
Paul Travers: Grant and I have to actually run to another meeting here out in Santa Clara.
Grant Russell: This has to be our last question. Then we are off for an hour.
Unidentified Analyst : Well. Thank you. Quick question Intel very recently brought out Lam Optic and comp aside could work together and developed Smart Glasses, until Intel bought 100% both of these companies. They focused on direct retinal projection and holographic combiner that was proprietary to them obviously until now and the rights and the patents to that. Have there been any conversations for future product down the road which might involve direct retinal projection or holographic combiner?
Paul Travers: Those are in-cycle questions actually. You might imagine that the kind of technology in wearable display tech is a great mix and match to some other stuff that companies like Vuzix does also. I couldn't comment beyond that.
Unidentified Analyst : Alright. Very good. I would point that is the technology that looks like Magically is working on as well, so I thought it was interesting that Intel will have 30% of you guys and bought 100% of these private companies right about the exact same time.
Paul Travers: I will tell you though that the technology that these guys at Lam Optic and the other folks, it's different than the wave front technology that our [indiscernible].
Unidentified Analyst : Very good. Alright. Thank you.
Paul Travers: You bet.
Paul Travers: Thanks everybody. We have to rush on you all but we got to run to another meeting. Andre you are going to close down the call.
Andrew Haag: Sure guys. I would like to thank everybody investors, analyst and institutions and participants in Q1 2015 financial results conference call and look forward to you and talking with you all if you track the company throughout 2015 and beyond. Thank you again for your participation.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time and have a pleasant day.